David Phillips: Hello. Good afternoon, and welcome to Aker Carbon Capture's Presentation for our Second Quarter Results for 2022. My name is David Phillips, the Head of Investor Relations and the UK. And thanks everyone for joining our call today, especially given the month, given the summer and given that many of you are getting ready to go on your holidays, so I really do appreciate the attention. So our play today, we're going to be going through a run-through of our updates in terms of key events and key developments during the quarter that will be from our CEO, Valborg Lundegaard. Then we'll move on to financials and some comments around our business models from our CFO, Egil Fagerland, and then we will move to Q&A. . Okay. So let's move on. Valborg, over to you.
Valborg Lundegaard: Thank you very much, David. This is the agenda for our presentation today, following an active and interesting second quarter. We will address the highlights of the quarter, our operation and business development, the delivery models, the financial highlights of the quarter, finally, the way forward, and then we will move to the Q&A. But first, before we start with the highlights from Q2, we have a short introduction to the company. Aker Carbon Capture is a pure-play carbon captive company with the strength of the Aker Group behind it. We see many important benefits of this structure, including our customers will have our full attention. And for investors, this open up for investment in a pure-play company, not a conglomerate of segments. Our proprietary patented technology has been developed over 20 years, and it's validated to over 50,000 operating hours and verified for several applications. Aker Carbon Capture technology is cost-effective, robust and flexible, meaning it can be applied to existing plants or new builds. The process uses a biodegradable mixture of water and organic amine solvents to absorb the CO2 and has a market-leading HSE profile. Since mid-2020, Aker Carbon Capture has focused on the European market with Scandinavia, Benelux and UK leading the way. Here, the interest from customers continues to be highest and the regulatory environment to support adoption of CCUS continues to be the most mature. We also note the increased policy support and early-stage corporate activity around CCUS markets in North America. We continue to prioritize 4 market segments, where our technology has been tested and verified: cement; bio and waste to energy; gas to power and blue hydrogen. And we also are seeing good engagement with a number of additional segments where our technology is well suited to capture CO2 such as in refining and process industries. Now the highlights of the quarter. Aker Carbon Capture has entered the construction phase for its flagship projects in Norway and the Netherlands. In May, we reached a key milestone at the Brevik CCS project, the installation of the first major equipment on site. In the Netherlands, our Twence waste-to-energy plant, construction has officially commenced. Aker Carbon Capture is delivering a standard Just Catch carbon capture plant, which will be in operation by the end of 2023. To develop the ground-breaking Keadby 3 Carbon Capture Power Station, UK energy company, SSE Thermal has selected a consortium of Aker Solutions, Siemens Energy, Doosan Babcock with Aker Carbon Capture as the carbon capture provider. To serve the growing activity in UK, we are establishing an office in Central London. Moreover, we signed an MoU with Storegga to collaborate on CCS projects and enable industrial emitters access to full value chain offerings in the UK. In Poland, at the Polchar facility, we successfully verified our carbon capture technology for char to our latest Mobile Test Unit campaign. When we look at our financial results, I am happy to share that through the past quarter, we have seen continued strong revenue growth. Overall revenue for the second quarter was NOK 194 million. We have a robust cash and cash equivalent position at NOK 1.5 billion. CCUS is being increasingly acknowledged as one of the cornerstone solutions to decarbonize several industries. In its most recent report, the International Energy Agency has restated the need for large-scale deployment of carbon capture to help reach the mid-century global climate goals. Despite the ongoing pandemic, the war in Ukraine and the consequent energy crisis, political and corporate efforts to fight climate change remain strong. These efforts are exactly why the level of activity at Aker Carbon Capture continues to be high. Now we move on to look in more detail at our operation and business development. In May, Aker Carbon Capture reached a key milestone at the Brevik CCS project, the installation of the first major equipment on site as we are building the first carbon capture plant at a cement facility in the world. This marks the beginning of the construction phase, which will gradually accelerate as more equipment arrives. The peak installation activity will be in 2023. From 2024, the plant will capture 400,000 tonnes of CO2 per year. The Brevik CCS project is part of long ship, a full CCS value chain development and the largest climate project in Norwegian industry ever. The cement industry represents 6% to 7% of global CO2 emission and CCS is a key solution to decarbonize this hard-to-abate segment. Through the Brevik CCS project, we will help to create local employment and establish strong partnerships with local companies and other stakeholders. This delivery model is scalable also for other carbon capture projects. In Brevik, people are proud that they can be part of this flagship project for the global cement industry. And as an example, these fantastic pictures were taken by a local photographer who stayed throughout the whole night to witness this key milestone. More to come throughout the next couple of months. In the Netherlands, at Twence waste-to-energy plant in Hengelo construction has officially commenced. Aker Carbon Capture is delivering a standardized Just Catch. I was at the ground-breaking event on May 9, and there was a strong sense of enthusiasm among all stakeholders, including the Dutch government, who sees this as an important flagship project. This first-of-a-kind modular carbon capture project is on track and will start capturing 100,000 tonnes of CO2 per year already from end 2023. The plant will reduce CO2 emissions associated with the generation of energy from the incineration of non-recyclable waste. The captured CO2 will be used as fertilizer in greenhouses, a unique example of circular economy. Our third prioritized market segment is carbon capture for large-scale gas-to-power plants. Currently, we are running 2 flagship projects in the UK. In June, UK energy company, SSE Thermal selected a consortium of Aker Solutions, Siemens Energy and Doosan Babcock with Aker Carbon Capture as the carbon capture provider to develop the Keadby 3 carbon capture power station. Siemens Energy is providing cutting-edge gas turbine technology for the plant, which will have a generating capacity of up to 910 megawatts. The carbon capture facility will have the ability to capture up to 2 million tonnes of CO2 annually, which is around 5 times the size of Brevik CCS. A recent release socioeconomic report outlined that the plant could deliver GBP 1.2 billion for the UK economy, including significant benefits for the local area. In December last year, we commenced work on the FEED for BP Net Zero Teesside Power, where Aker Carbon Capture is the carbon capture partner to the same consortium. Both developments will be the world's first commercial scale gas-fired power station with carbon capture. These FEEDs are crucial steps forward for Aker Carbon Capture in terms of further cementing our carbon capture business in the UK. As you can see, Aker Carbon Capture is experiencing high activity in the UK, where the government has set ambitious targets for the country to become a world leader in CCS. The ambition is to capture between 20 million and 30 million tonnes CO2 per annum by 2030. It has confirmed the Track 1 clusters, Hynet and East Coast, which will begin the carbonizing UK industry from 2026. We are establishing an office in Central London to serve the growing list of clients and partners, and we are excited to move into the premises of sustainable ventures, which hosts strictly climate tech and sustainable focused businesses. On this slide, we have listed our progress ranging from important FEEDs to innovative partnerships and collaboration. It is clear that we are ready to help accelerate the decarbonization of British industry, contribute to creating and safeguarding jobs and strengthen energy security. Last week's introduced Energy Security Bill is a clear testimony to written CCUS ambitions, attracting private investment by providing long-term revenue certainty and establishing economic regulations and licensing frameworks. Another important milestone has been the successful verification of our carbon capture technology for char by our Mobile Test Unit, the MTU. This took place at a char facility in Poland. Aker Carbon Capture has designed, constructed and operated the MTU since 2008. It is a unique complete carbon capture plant but in small scale. The MTU is container-based for easy transport and hookup at industrial sites. The MTU is delivered as a service with operators, installation and decommissioning. A typical rental period is from a shorter verification of 3 to 4 months to a larger campaign of 9 to 12 months where flue gases and long-term effects can be studied. The MTU is ideal for testing new technology and has been key to positioning us as one of the world's leading carbon capture companies. Different from small-scale test plants, a journey with our MTU provides scalable and relevant results from a proprietary aiming; while at the same time, enabling references testing with other amine technologies. Our test campaigns are risk reduction for the customer and support a full-scale implementation. Our next campaign will be at Elkem's smelting facility in Mo i Rana, Norway. Given the high demand we are building a second MTU. This allow us to explore new industries and geomarket and increase our capacity to support customers. Our material topic set the foundation for our sustainability efforts. We report on the pillars of planet, people, prosperity and governance. And today, I wish to talk about people. While in the half year report, you can find an update on each of these. To meet our strategic ambitions, we need committed people. We are now growing our workforce to more than 200 employees and hired-ins. We have established presence in India and Sweden, alongside Norway, Denmark and the UK. Diversity and integration are prioritized aspects with regards to people. And since we established the company, we have been committed to maintain or improve the diversity across several dimensions. As we grow, we are expanding our international background, and we now have a total of 16 nationalities represented in our company. In June, we organized the awareness month. And going forward, we are continuing to focus on diversity and inclusion. We have set an ambitious target to secure contracts to capture 10 million tonnes of CO2 by 2025, our 10 in '25 target. We visualize the progress towards this target across 4 categories: secured development contracts; secured FEED contracts; tenders and studies; and prospects. Here, the 0.5 million tonnes represent our already secured EPC work with Norcem and Twence, the 2 only large-scale carbon capture projects in construction phase in Europe. Then the FEEDs, now 4.4 million tonnes, which reflects Net Zero Teesside Power and Keadby 3 plus some new work in the cement industry. We've seen continued growth in tenders and studies. And this category now totals 8.5 million tonnes. Among other areas, this include prospects in Denmark and global opportunity for Just Catch offshore. Apart from the progress we made since 2020, it is also important to note that we deliver technology center amongst in Norway with a capacity of 80,000 tonnes per year already in 2012. This experience set us apart from many competitors without a proven technology, delivery of projects and operations. Now our CFO, Egil Fagerland, will take us through our delivery models and financials.
Egil Fagerland: Thank you, Valborg. So we have 2 main product offerings in Aker Carbon Capture, the Just Catch and Big Catch. The Big Catch can handle from 400,000 tonnes of CO2 per year, up to several million tonnes of CO2 per year. The modular Just Catch comes at a standard capacity of 40,000 tonnes and 100,000 tonnes CO2 per year. Just Catch is also available in a larger modular design for offshore work, for instance, with large gas turbines on large-scale FPSO vessels. We can deliver either of these on an EPC basis. And for the Big Catch and Just Catch offshore offerings, we can also provide license models with key equipment. Our standardized Just Catch offering is at the heart of our carbon capture as a service model. For carbon capture as a service, our estimated levelized cost of the full value chain offering remains at a range between EUR 70 to EUR 150 per tonne. There's no change in the range since our first quarter report. But as a reminder, back in the third quarter last year, we presented a range between EUR 75 and EUR 145 per tonne. And we have since updated that number, and we have widened the range and the arrow bars. In general, we do see an increased uncertainty around certain cost elements driven by pressure on supply chains and energy prices. The CapEx for the Just Catch plant, including liquefaction, temporary storage, and financing remains within an estimated range of EUR 30 to EUR 45 per tonne. Although we expect efficiency gains through implementation of serial production to partly offset the inflation in the market, in the short term, we see typical cost elements moving towards the higher end range. Since we're currently delivering a Just Catch 100 unit for Twence in the Netherlands, we have recently placed purchase orders that confirm that we are delivering CapEx within this illustrated range. The OpEx, which includes solvent supply, energy, digital operation center, labor and maintenance covers a range of EUR 10 to EUR 45 per tonne. As we commented last quarter, engagement with customers have allowed us to identify a number of opportunities to reclaim and utilize excess heat that significantly reduces energy costs, which are typically the largest part of the OpEx. In addition, further potential has been identified for automation and digital operations. And to add some more flavor, if we apply the current high energy prices and estimates on our opportunities with little or no excess heat available, we would see OpEx in the higher end range of this bar. However, it's important to note that the levelized cost of carbon capture as a service is based on a 15- to 25-year lifetime perspective. During which this time, we -- it's likely for the assumptions to fluctuate somewhat. Then the highest range is for transportation and storage, ranging from EUR 30 to EUR 60 per tonne. The cost will vary mainly due to distance from source to available storage. Since the CO2 transportation and storage infrastructure projects are large in nature, we have widened the arrow bar to reflect risk related to cost inflation in developing these projects. At the moment, signals are that the CCS market will start out in the higher end of this transportation and storage line. And as a reminder, when applying carbon capture for utilization or usage opportunity, only the element related to transportation is relevant, not the storage. The EUA or the EU ETS has so far in 2022 been quite volatile. And it now ended the second quarter around EUR 90 per tonne. The volatility seen in the first half of 2022 has been influenced by geopolitical unrest related to the war in Ukraine, energy security concerns and prices feeding power generation such as coal and natural gas. Underlying carbon market fundamentals, such as reduced allowance supply and higher power sector emissions continue to put pressure on the allowance market and support higher prices. However, uncertainty in the market related to high power and gas prices and inflation could lead to a reduction in demand for allowances. New policies such as RePower EU, which proposed to increase volumes of allowances into the market might also drive down prices in the near term. It's fair to say that short term, it's quite challenging to forecast the carbon price development. But longer term, there's an increasing market consensus and strong EU signals but the EU carbon allowance price should continue to increase. Analyst targets for carbon by 2030 has increased slightly, and now the 2030 range is between EUR 90 and EUR 150 per tonne. This compares to a range between EUR 80 and EUR 150 per tonne last quarter. The overall analyst forecast spread has also widened somewhat. Now the most conservative estimates are between EUR 60 to EUR 80 per tonne in the period up until '25, '26. And on the positive specter, some analysts have a view that the carbon price will continue to rise rapidly towards EUR 140 per tonne within the next 12 to 18 months. These prices align well with our levelized cost for carbon capture as a service presented on the prior slide where some of our projects are already economically viable above EUR 70 per tonne. Now I will take you through the key financial highlights of the second quarter. Bear in mind that all the numbers mentioned are in Norwegian kroner, and let's start with the income statement. Our revenue for the second quarter was NOK 194 million, which was up 180% compared to the same period last year. This reflects an increasing activity on Brevik CCS, which is continuing to progress and has successfully delivered the installation of the first key equipment on site. In addition, Twence Just Catch CCU and BP Net Zero Teesside FEED were strong revenue contributors in this quarter. Our reported second quarter EBITDA was negative NOK 49 million, which was a decrease of NOK 2 million compared to the same quarter last year, but an improvement of NOK 12 million from the first quarter this year. This quarter, we have started profit recognition on Brevik CCS. This has been done on the back of the successful installation of the first key equipment on site and thorough project assessments. Profit has not yet been recognized for Twence Just Catch CCU. We will start recognizing profit when the project is more mature and the outcome and estimates can be reliably measured, and this is typical for this type of work. FEED projects and feasibility studies also contributed favorably in the quarter. But importantly, although we are now starting to see an increased contribution for projects and studies, the negative EBITDA results continues to be driven by expenses related to R&D and digitalization projects, tenders, business development, sales and our continued international expansion. Now to the balance sheet. Our second quarter net current operating assets or net working capital ended at negative NOK 530 million which represented a continued strong cash position on our projects. Overall, operating assets and liabilities represented by net capital employed was negative NOK 485 million, and this signals that our short-term and long-term business activities are currently pre-funded by our net working capital position, and that is due to cash positive projects. We continue to have a very healthy cash position at NOK 1.5 billion, and this could cover all of our liabilities 2.5x. Finally, our equity remains strong at NOK 1 billion. On the cash flow, we started out -- or closed the first quarter with NOK 1.485 billion in cash. And through the quarter, we saw an overall outflow of NOK 33 million. The major drivers were loss before tax, changes in net current operating assets and CapEx. The loss before tax represented an outflow of NOK 50 million, closely aligned with our EBITDA. Net current operating assets represented a cash inflow of NOK 41 million and CapEx of NOK 24 million was mainly related to the building of a new Mobile Test Unit, product development and product standardization. In total, overall cash and cash equivalents this quarter ended at NOK 1.452 billion. And now to our financial outlook. Our outlook remains in line with what we presented in Q1 2022. First, to our backlog scheduling. We ended this quarter around NOK 1.7 billion of backlog, by year of execution, we see this work roughly at NOK 500 million for the remainder of this year, NOK 1 billion in 2023 and NOK 200 million in 2024. For our operating expenses and in the second quarter this year, we saw salary and other personnel costs and other operating expenses together totaled around NOK 71 million. Excluding salary and personnel costs associated with projects, we expect these costs together to remain around similar levels through 2022. And thirdly, net cash balance. We continue to benefit from a favorable cash position, and we ended the quarter at NOK 1.5 billion. However, through 2022, as we continue to progress on our projects. We expect to see some of this cash position consumed, and we would expect to end the year around NOK 1 billion in cash. Again, based on project cash flows alone, we would expect this trend to reverse somewhat in 2023. Please note that these comments do not include any assumptions for cash spend on M&A or additional investment opportunities that might arise during the year. Now Valborg will summarize the way forward before we move on to Q&A.
Valborg Lundegaard: Thank you, Egil. There are only 2 large carbon capture projects under construction in Europe today. Aker Carbon Capture is delivering both. Brevik CCS, the world's first carbon capture plant on the cement facility and Twence CCU, first-of-a-kind modular carbon capture plant on the waste-to-energy facility. And we are working on FEEDs for 2 mega scale gas-to-power plants with carbon capture, BP Net Zero Teesside Power and SSE Keadby 3. Delivering on our commitments is top priority. We have set a clear direction to position for the huge market ahead of us. We have prioritized European market and 4 market segments: cement; bio and waste-to-energy; gas to power; and blue hydrogen. We also see opportunities emerging in North America and in other industry segments such as refining and process industries. And now we will verify our technology at Elkem's smelting facility in Mo i Rana, Norway. Our proven technology is market leading. We will aim to further improve energy efficiency and capture it and have an increased focus on new technology. Through standardization, modularization and digitalization, we are expanding our cost-efficient product portfolio. Collaboration with strategic suppliers is an important part of this journey. We will continue to offer EPC and license models followed by a long-term service agreement. We're also bringing the full CCUS value chain together to carbon capture as a service. To meet the expected rapid growth in the market, we will continue to build strong partnerships, covering both the physical and digital CCUS value chains. Therefore, we work together with complementary partners such as Microsoft, Siemens Energy and Northern Lights. Finally, to meet our strategic ambitions. We are building our company through committed people, driving in a collaborative and innovative environment. We are in a strong position to make a positive impact on our planet and contribute to creating a sustainable future. Thank you. And now we move to the Q&A. So Egil, if you will please join me.
A - David Phillips: Okay. Thank you, Valborg, and thank you, Egil. As traditional, we'll have the invisible voice from the side running through the Q&A or lease the queues. So we have a good number of questions.  So firstly, from James Carmichael, a number of questions. These have very much a CFO tint to them, Egil, just so you're ready. So can we give a bit more color around the effect are starting to report margins from the Brevik project? And can we say anything around the margin impacts from that project itself?
Egil Fagerland: Yes. So normally, and as disclosed earlier, we don't specifically guide on project margins specifically. But when you have a construction contract like Brevik that starts recognizing profit, you would normally see a small catch-up effect up until the point that the progress -- project has progressed so far. But for our case, it's quite important to also note that we have a growing business with other expenses, as I mentioned, especially related to R&D projects, digitalization, tendering, sales, et cetera. So it's not straightforward to look at the numbers and say this is Brevik, but there will be a small catch-up effect on when you do profit recognition on these projects.
David Phillips: And moving on from that, Keadby 3. Are we able to say if we are a sole player in that contract?
Valborg Lundegaard : Well, I think what we've seen very clearly on BP Net Zero Teesside is that 2 FEED contracts has been awarded. And for Keadby 3, only 1 FEED has been awarded. And the final outcome, whether this project will move forward into final investment and also from BP, really it's up to the operators and to the government of UK. But we are really pleased with our position now on both these projects.
David Phillips : Excellent. And last one from James. Again, a CFO question. Cash flow guidance, heading towards sub-NOK 1 billion by year-end and possibly some positive moves after that. Has there been any change to that view since we last spoke?
Egil Fagerland : Last time, we presented the numbers, we said slightly below NOK 1 billion. This is, of course, a moving target. Since last time, we've also had some new order intake, especially the Keadby 3 FEED. So there are slight movements. But overall, the message is the same, around NOK 1 billion at the year end this year and then somewhat reversing in the positive direction in 2023.
David Phillips : Okay. Moving on, our next question is from Rachel Fletcher. We recently ordered the FEED for Keadby 3. As the intending is, we will actually be licensing our technology. Can we give more information on how that licensing will work? And is there any guidance or any comments we can give around the contract size for the FEED and the full project?
Valborg Lundegaard : So when we call it a license project or a carbon captive provider, what we offer is design package the carbon capture plant, but it also includes key equipment. And that is very important for us because together with this, we will give a performance guarantee. And we need to follow up these key suppliers directly to ensure that we have the deliverables as expected. So it's a substantial contract, but I cannot give you exact numbers.
David Phillips : Okay. Moving on Erwan from RBC. Firstly, he said, congrats on a very solid quarter. It's very nice. First question, should we expect to see further workforce additions given our growth in tenders and studies?
Valborg Lundegaard : Yes. I'm very pleased to present the growth in tenders and studies and also in FEED from previous quarter. You saw FEED increased from 4 million tonnes per year to 4.4 million tonnes, and tenders and studies from 5.5 million tonnes to 8.5 million tonnes. So this really demonstrates very clearly that there is high activity in the market. And it goes across various markets, but there is high activity in UK, we mentioned that. That is why we are setting up an office, but there is also very high activity in the Danish market. That's one other example.
David Phillips : Absolutely. Second question from Erwan is about Brevik. So in the last while, there's been some -- a lot of discussion around Brevik and the contract itself. There are obviously sort of questions around some of the issues with the civil engineering and groundwork. Is there any update we can give on that?
Valborg Lundegaard : No. This is up really to the operator, HeidelbergCement Norcem, they have announced an increase for the overall work in Brevik, up to almost NOK 1 billion. However, you should be aware that our contract represents only 50% of Norcem's activities in Brevik. They have a number of other contractors there doing civil work, modification to the existing plant and ENI. So the status of this, really, I have to refer to Norcem. They have given guidance on where this increase is. They have highlighted market effects from the pandemic and also expect growth in the civil and modification part of the scope.
David Phillips : Okay. All right. Moving on. Lucas on Uptick. What can we say about the cost of an MTU? Any rough indication?
Egil Fagerland : As we've said before, we don't specifically guide on the project numbers in neither revenue or cost or margins at this time. But it is, I would say, a very affordable approach for our customers to derisk their potential future projects.
Valborg Lundegaard : And I will also add, is a very good investment for us. The track record that we have with our first MTU really shows the importance of this. How we start engaging with the customers early, derisk the project on technology side, but also study full-scale implementation. So it's based on a lot of requests from the market. Can you come to us with our MTU, we saw the need to really deliver and build another?
David Phillips : Excellent. Okay. Next question, looking at secured FEEDs increased by 0.4 million tonnes, that's we announced Keadby 3. What is the -- I guess, the background right here, maybe even I can take this one. The background here is that when we announced our 4 million tonnes of FEEDs before, that was BP and undisclosed, and we've now disclosed what the undisclosed is. So then the new work, as you mentioned, Valborg was in the cement industry, I believe.
Valborg Lundegaard : Yes. And we cannot disclose more than that. There are always customers who want to keep this confidential.
David Phillips : Okay. Great. Last question, at least until anyone else puts a last minute question in the system. Do we face -- I mean, look at our projects that we are delivering now, what sort of challenges and difficulties do we face?
Valborg Lundegaard : We shouldn't underestimate the large projects we are delivering right now. As I said, delivering our commitments is really a top priority for us. And the Brevik project, even though we now come to an end with detail engineering, moving into follow-on, we placed all the POs and so on. But we're just starting the construction work in Brevik. And the project will not be in operation until 2024. So it requires a really -- that we follow up this project carefully and have strong risk management and work closely together with all our suppliers and HeidelbergCement Norcem.
David Phillips : Okay. I think we can tell it the summer season because that's the last question, so record time. But thank you, everyone, for your questions. It's great to have the interaction and challenges. Just as a quick reminder, also, my -- if you want to follow up separately, my e-mail is on our website, go to the Investor Relations section. My direct e-mail is there. Also for those analysts, so for the sell side, rather than the buy side, the sell side, we have a roundtable discussion tomorrow at 9:00 a.m. UK, 10:00 a.m. CET. If you have not had an invite, please do -- it's a very informal session. We want to give everyone more chance to talk to us, please do drop me an e-mail. But other than that, Valborg, any closing comments at all?
Valborg Lundegaard : I wish everyone a good summer.
David Phillips : Absolutely. Thank you.